Matthew Hooper: Good morning, everyone, and welcome to today's Q4 2025 results conference call. [Operator Instructions] My name is Matthew Hooper, and I will be your host today. Joining me here on the call are our CEO, Jorgen Madsen Lindemann; and our CFO, Johan Johansson. Welcome, gentlemen. As usual, our presentation will be followed by a Q&A session, and you can find our results materials, including a presentation deck and detailed fact sheet on the Investor Relations section of our website. We will not follow the slides, but the presentation deck and fact sheet do provide useful information for you. Please be advised that today's conference is being recorded. [Operator Instructions]. I will now hand the call over to Jorgen to walk you through the Q4 results. So over to you, Jorgen.
Jorgen Lindemann: Thank you, Matthew, and good morning, everyone. So Q4 was another important quarter for us as we made further progress in our strategic transformation. We have met or exceeded the targets that we set out for the pro forma combined results of Viaplay and the Allente Group for the full year. We completed the acquisition of the remaining 50% of Allente Group in mid-November. This is a company that we know well as an owner, partner and operator. Back in July last year, we announced that we would buy the remaining 50% of Allente for SEK 1.1 billion. Allente then paid out SEK 500 million of dividends to Telenor and SEK 500 million to us. So we ended up paying SEK 600 million to Telenor in Q4 to complete the 100% consolidation. We are now in the process of integrating the business, and we expect full run rate cash synergies of SEK 300 million to SEK 400 million from 2027, which will further support our transformational journey, our profitability and cash flows. We have reconfirmed our intention to deliver double-digit EBITDA margins in '28 compared to the 5.3% that was delivered for '25 on a pro forma basis. This still requires a lot of work in collaboration with partners to agree mutual beneficial B2B distribution terms and prolonged content agreements on commercial market terms. We have already negotiated and extended a number of our agreements with content partners and with B2B distribution partners that include Viaplay and our TV channels in their customer offerings. As mentioned, we continue to work with our partners to rethink these relationships so that they work well for both parties moving forward. On the content side, which represent 80% of our OpEx, we have received great and important support from our key partners in order to drive our transformation and to build our future continued partnerships. We have prolonged agreements where we have been able to agree mutually beneficial commercial terms. And in some instances, we have exited or replaced the legacy agreements where this has not been possible. The work we have done with our content partners to enhance our product offering resulted in 2% organic growth for our streaming business. Our D2C subscriber base has continued to grow quarter-on-quarter, driven by our premium sports offerings, while our B2B base has remained largely stable quarter-on-quarter as we continue to prioritize value over volume. ARPU levels were up for both our D2C and B2B basis, again, reflecting the growing share of our premium sports offering. Our Q4 programming slate was more attractive and relevant than ever with English Premier League Football, Formula 1 Motor Racing, Darts and Winter Sport continue to drive viewer engagement. Our content cooperation in Norway with TV2 has resulted in growth for our price package. Thanks to the support from our partners and with the existing contract -- and within the existing contract terms, we have also now just become the first broadcaster in the world to show all 552 games from the English Football League Championship each year, and we are further extending our coverage of Formula 1 races weekends and Winter Sports in 2026. On the non-sports side, local storytelling has combined with international formats and new releases to support not only Viaplay, but also our free TV channels, which have grown their audience shares in each market in '25 versus 2024. The latest series of local versions of proven relative formats such as Paradise Hotel, Expedition Robinson have again led the way together with Crime Thursday and [ Efterlyst ] and Svenska fall in Sweden; [indiscernible] in Norway and popular acquired TV franchise shows across our markets. The work we have done to transform our advertising business also paid off in Q4. Our digital advertising sales were up 38% as we continue to push both our HVOD and AVOD products. Linear advertising markets remain under pressure, and we are working hard to maintain our market shares. Total advertising sales were stable year-on-year in Q4. We increased our listening share in our Norwegian radio business and we were broadly flat in our Swedish radio business. We have just been awarded a prolongation of our national radio license in Sweden from 2026 for 8 years, which is the same license as we have today. The sales of our linear channels to telcos and other distributors were up slightly, and this reflects the investments that we continue to make in these products as well as the renegotiation of legacy agreements that I mentioned earlier. We have either prolonged these agreements on improved commercial terms or we have exited and replaced them where that is not possible. The 37% decline in our sublicensing and other sales is the major reason that our total sales were down 2% on an organic basis in Q4. We have referred before to the exceptional high sublicensing sales that we had last year when we made a number of one-off scripted content sales and sublicensing deals in Q4. This year's sales are at more normalized level, and we have been consistent quarter-on-quarter this year. Looking forward into 2026, we have today guided for a stable group sales when excluding currency effects with accelerated growth in streaming sales expected to offset the continued decline in Allente's DTH sales. Our profits in Q4 were impacted by the consolidations of Allente's profit for half of the quarter and by adverse currency effects. On an underlying basis, when excluding these effects, our profit would have been slightly down year-on-year and reflect the closing down of the noncore businesses last summer. We reduced the OpEx for our core operations by 2% before currency effects, which was in line with the 2% organic sales decline for our core operations. We have today guided for between SEK 1 billion to SEK 1.4 billion of EBITDA in 2026. The range reflects a number of moving parts, including some synergies from Allente Group integration, which we expect to be full run rate from 2027. We will provide more information about this once integration is finalized. To conclude then, we have delivered the guidance for 2025, and we are now a group with almost SEK 22 billion of annual sales and over SEK 1 billion of EBITDA. Our products are stronger than ever with more relevant content than ever, and we are consistently working to enhance, exit or replace the legacy agreements and partnerships while maintaining as lean an SG&A cost base as possible. We are totally focused on relevance and resilience with commercial partnership and competitive products so that we can secure our position and future. There's still much to do -- for us to do to deliver the double-digit EBITDA margins in '28 that we're aiming for, and we are clear about what needs to happen for that objective to be achieved. That is it for my comments, and I will now hand over to Johan for his comments on our financial performance and position before we take your questions.
Johan Johansson: Thank you, Jorgen, and good morning, everyone. Our guidance metrics for 2025 were based on the full year pro forma performance of the group as if Allente Group had been consolidated 100% from 1st of January 2025. Jorgen has been through the achievements of our core sales and our core EBITDA metrics, and we have closed down the remaining noncore operations last summer. A few words on the Q4 numbers specifically. Our reported sales of [ SEK 4.978 billion ] included SEK 578 million of Allente Group sales, net of internal eliminations following the acquisition of the remaining 50% of Allente Group in mid-November. And our reported EBIT before associated company income and IAC of SEK 158 million included SEK 31 million from Allente Group. The Viaplay sales to Allente as a key distribution partner have been eliminated in the sales line, as you can see from the segmental results from our core operations, and there is no elimination on the EBIT line. The noncore operations had no sale and no EBIT in the quarter compared to SEK 198 million of sales and negative SEK 36 million of EBIT in Q4 2024. Currencies continue to affect us as a stronger Swedish krona had a negative impact on the around SEK 133 million on the translation of our core sales in other currencies into our SEK reported currency. Reported core operation costs, however, benefited from a net positive FX tailwind. The total FX impact on the core EBIT was negative by approximately SEK 40 million, which was in line with our previous expectations for the full year FX headwind on the core EBIT of SEK 100 million to SEK 150 million, where we came in at approximately SEK 125 million for the full year. When looking at the organic cost development, when excluding Allente and FX, we achieved savings in almost all categories, apart from some key legacy contracts where we have built in inflation and a substantial reduction in scripted content sales also resulted in a reduction in associated costs. The SEK 642 million of items affecting comparability in the Q4 primarily comprised noncash write-down of legacy nonsport content as well as transaction costs related to the Allente acquisition. Net financial items totaled minus SEK 281 million and included SEK 121 million of accelerated interest payment and written off prepaid borrowing costs related to the renegotiation of our banking agreements and the cancellation of the guaranteed facility. A further minus SEK 6 million related to net lease liabilities. Other financial items totaled minus SEK 57 million and included a minus SEK 20 million of costs related to the renegotiation as well as facility fees and FX impact on revaluation. Moving on to cash flow. We also met a third of the full year pro forma guidance metrics, which relates to the group rather than to the core operations. We reported SEK 804 million of pro forma adjusted operating free cash flow when compared to the guidance range of SEK 500 million to SEK 750. This metric excludes acquisition costs, interest, dividends and extraordinary one-off working capital effects. The SEK 804 million included a positive adjusted free cash flow of SEK 1.169 billion for the core operations and the SEK 365 million drag from the noncore operations due to the content contracts that are yet to expire. The SEK 365 million cash drag was lower than the SEK 500 million that we previously expected and is a function of timing where we have managed to defer some of the payments into 2028. Our Q4 reported cash flow from operations primarily reflected the SEK 1.533 billion negative change in working capital, which included a previously flagged an extraordinary SEK 2.5 billion negative working capital effect as well as a positive change in the timing of payments when compared to 2024. Excluding this SEK 2.5 billion one-off effect, the Q4 changes in working capital would have been positive. We also received SEK 300 million of cash dividends from Allente Group prior to the acquisition on top of the SEK 200 million that we received in Q3, which are included in the cash flow from operations. Cash flow from investing activities primarily reflected the Allente acquisition, while the cash flow from financing activities primarily reflected the refinancing as well as the drawings on the RCF. When looking forward into 2026, it's worth noting that we expect the core operations working capital swings to be less volatile between quarters due to a range of new commercial agreements with partners. The anticipated noncore operations cash drag for 2026 has not changed from the SEK 500 million figure that we provided before. CapEx will be at or about the same level for the combined group, which was approximately SEK 150 million in 2025 on a pro forma basis. Cash tax payments will benefit from the carryforward tax losses that we have and our annual cash interest costs are now running at approximately SEK 450 million. This is only a slight increase in our total cash financing costs when compared to the cost before Allente deal. The SEK 300 million to SEK 400 million of full annual run rate cash synergies that Jorgen mentioned in relation to the integration of Allente will be at full run rate from 2027. We are now in the process of integrating the business and expect the cash cost of that integration to be between SEK 270 million and SEK 330 million, which will be reported as an IAC during 2026, with the majority coming in Q1 and Q2. In connection with the Allente Group transaction, we refinanced the balance sheet in order to improve our debt structure and to reflect the fact that we are now a group with over SEK 1 billion annual EBITDA. This effectively involve securing a new SEK 1.726 billion term loan to replace the debt that Allente brought to the table, canceling the SEK 7.1 billion guarantee facility, establishing the new SEK 2.5 billion working capital facility and reducing the size of the RCF from SEK 3.392 billion to SEK 2.817 billion. The [ SEK 1.58 ] billion of bonds and notes is unchanged. We already amortized SEK 100 million on the SEK 1.726 billion loan in Q4. So our total long-term indebtedness, excluding the RCF, is now at SEK 6 billion. We will make further repayments of SEK 420 million on this loan in both 2026 and 2027 and all the rest of our debt facilities mature in 2028. Our financial net debt when excluding leases amounted to SEK 5.246 billion at the end of the quarter and comprised SEK 6.422 billion of debt and SEK 1.132 billion of cash. SEK 500 million on the RCF was drawn at the end of the quarter. The effective doubling of the EBITDA margin between now and 2028 required a lot of work and collaboration with our partners to prolong legacy agreements and partnerships on commercial market terms or find alternatives. The strengthening of this profitability profile and the ending of the cash drag from the noncore operations in 2028 will enable us to gradually delever the balance sheet. Execution and efficiency remain our key focus area. We have clear objectives, so must continue to deliver on sales growth and cost reduction initiatives, must constantly improve our working capital efficiency and must allocate capital with discipline and clear return on investment requirements. We have made a lot of progress, and there is still much to do. That concludes my remarks. So now back to you, Matthew.
Matthew Hooper: [Operator Instructions] So if we take the first question from the message board. This question comes from Emil at MediaWatch. And it's one for you, Johan, I think, which is, can you please explain why the group's net debt has risen from SEK 1.1 billion in 2024 to SEK 5.2 billion in 2025?
Johan Johansson: So I think as we have said, a part of the Allente transaction, we have refinanced the balance sheet, which included this reshape of the capital structure with these components that we have talked about. And it is a combination of all those items that I mentioned just in my note there.
Matthew Hooper: Yes. So remember, Emil, that we had the refinancing, which we announced in conjunction with Allente. There are a number of factors there, including the new working capital facility, the old guarantee facility went away. So there's a lot of reshaping that's gone on there, but it's all been laid out. So it should be fairly straightforward to understand, hopefully. There's another question from Emil, probably one for you, Jorgen, which is how much do you expect content cost to increase in 2026 due to the multiyear legacy agreements?
Jorgen Lindemann: Yes, we have not been specific on the amount. But clearly, we have some new contracts kicking in, and we do see inflation in those contracts, but we are not specific around the amount.
Matthew Hooper: Yes. And I think as Johan mentioned, I mean, we've had cost savings in this period in Q4 related to almost all categories and including SG&A as well, not just the content costs. So hopefully, that shows you a direction of travel and what we're doing on the majority of the cost items. Another one from Emil again, Jorgen, for you. Do you expect a continued net loss of Viaplay subscribers in the core markets in 2026?
Jorgen Lindemann: Yes. So far, as you can see, the Viaplay subscribers, we have now grown quarter-on-quarter. And that is something clearly we would like to continue to do. So we have strong traction right now on the products. And as you have seen as well, our sports -- particularly our sports high ARPU sports portfolio has grown quite significantly. So the aim is, of course, to continue to get more customers on board. So that is the focus.
Matthew Hooper: Okay. And just the final question from Emil now is how important will price increases be for meeting the guidance for 2026?
Jorgen Lindemann: Yes, but it is a combination of more customers, as we said, and also clearly also price increases where we find that we can increase prices. So we are still competitive or adjust prices, so we are competitive. So that is clearly a part of the way to get to the guidance.
Matthew Hooper: Okay. [Operator Instructions] So we'll continue with the message board for now. And a question from Alex at SB1 Markets. You reiterate the ambition of a double-digit core EBITDA margin by 2028. What are the 2 to 3 biggest quantified levers to get you there? And you suggested some for us, pricing ARPU, content cost optimization, OpEx, tech efficiencies, Allente synergies. And then the second half of the question is what annual milestones should we track in '26 to '27 to show the direction of travel?
Jorgen Lindemann: Yes. But I think it is clearly that we want to grow our D2C and also grow our B2B streaming business. I think that is quite important. And also that growth, of course, should flow straight down to the bottom line. Clearly, the improvement, as we talked about as well in different content agreement or distribution agreement, Johan mentioned as well or Matthew right now as well, the savings, the more being fit for purpose and then also the synergies from Allente Group integration as well. So those is, of course, what should bring us in the end to the double-digit margin in -- as we have set out as an ambition in '28.
Matthew Hooper: Okay. And then a follow-up from Alex. Q4 had extraordinary -- actually one for you, Johan. Q4 had extraordinary working capital effects. What should we assume for normalized working capital seasonality for the combined group in '26? And are there really any structural changes here post Allente plus any anticipated full year working capital headwind or tailwind?
Johan Johansson: Yes. So as I mentioned, I think we -- in 2025, we had this extraordinary working capital effect of SEK 2.5 billion. And then we have also had a positive effect from improved commercial agreements and that effects 2025. So when we go into 2026, we will have less volatility between the quarters on the working capital. And it will be more stable if you look during the year. We will have a few hundred million buildup during the year. But there's many moving parts in this, and we need to come back to it and give more updates on that during the course of the year.
Matthew Hooper: Yes. So overall, less lumpy.
Johan Johansson: Overall, less lumpy during the year.
Matthew Hooper: Yes. Then we have a question from Kristoffer from Kepler Cheuvreux. On Viaplay streaming, you have previously indicated low to mid-single-digit annual growth in '26 and beyond. Can you explain how you see the balance between subscriber intake and price adjustments? One for you, Jorgen?
Jorgen Lindemann: We have not been specific on that. But as I said earlier as well, it is a combination of mix of the products clearly, and we are increasing prices or making sure that we are competitive on pricing where we need, at the same time, making sure that we also are getting customers in by being competitive. So we have not been specific on the 2 specific levers there, which what each of them will drive. But it is a combination as we see today, where higher ARPU products and increased subs that is driving the growth as we see right now.
Matthew Hooper: Okay. And a follow-up from Kristoffer, which I think is one for you, Johan. You previously said we should expect gradual free cash flow growth from the '25 level. Is that still the case? Or will it look different in 2026?
Johan Johansson: I mean the gradual increase is still our long-term ambition. But please remember that it depends on the EBITDA outcome as well. But the pro forma 2025 of SEK 804 million had this positive underlying effect. And then we will also, as I mentioned, have -- I mean, 2025 included a benefit of the lower noncore cash drag, which in '26 expected to be around SEK 500 million at this point. But remember as well that we have the integration cost and restructuring costs within this year.
Matthew Hooper: Okay. And then from Kristoffer one of you, Jorgen, on HVOD and your crackdown on password sharing, could you update us on your progress and the benefits that you've seen so far?
Jorgen Lindemann: Yes. They have, in all fairness, been quite significant, particularly in both areas actually. So the account sharing has clearly benefited our sales and also the fact that we ask people to play fair. And if you're buying one subscription, that is actually not shared with everybody. So that has helped in all fairness as well. Same goes for the HVOD, which has proven to be a very good customer acquisition tool as well. We're looking at it right now, we're looking at whatever, 15% to 20% of the base as it is right now is actually coming from HVOD as well. So it is a tool which gives us opportunity to get a very strong product in the market at a good price and at the same time, also capitalize on digital advertising. So that has worked well for us.
Matthew Hooper: And I think along the same vein, [indiscernible] Media is asking, how large of sums do you estimate that you have lost to piracy in 2025? And what are you doing to change that trend?
Jorgen Lindemann: Yes. That is, of course, the biggest issue for all of us in all fairness. And in all fairness, we're looking at it right now, it looks like it's just continued to increase the piracy as well. There's a range of things that we are doing amongst others dynamic blocking with Sweden's 4 largest ISPs now targeting focused illegal IPTV services. So there's a range of measures, which we're doing right now. There's legislation of as well in the government, which prevents -- should prevent and make it a serious crime to be a pirate as well. So that is a range of measures that we're doing and something clearly we will continue to fight. I think -- if you read some statistics, I think it is -- some statistics suggest that it has increased, as I said earlier, around [ 16% ] from last year, and we should eventually see now around 1.3 million households being private in the Nordics, which is quite significant to be fair. So we are losing a lot there and something clearly everybody, which we are doing also with our partners here, our colleagues in different media companies, but also the government do need to act on this.
Matthew Hooper: Going back to Kristoffer from Kepler Cheuvreux. It's a question for you, Johan. I believe you indicated 2% OpEx reduction in '25. What further steps can you take to continue reducing the OpEx base?
Johan Johansson: I think it comes back to Jorgen said as well, I think we are working across our sort of cost base to optimize. And I think now with the integration of Allente, we also have these things that we are doing to optimize the setup we have, which we need to come back to and on the effect, which is why I think we have -- as we have guided for now with the run rate synergies from 2027. So -- but it is a range of things that we are doing on the cost base.
Matthew Hooper: Okay. I'll come back to you in a minute, Johan, with a question on specifying the rise in net debt level, just so we've clarified that for someone who's asked the question. But before we get to that, Kyle from Arctic has asked, Jorgen, is there anything you can mention on the competitive environment of sports renewals in the Nordics?
Jorgen Lindemann: I don't know specifically what that could be. Clearly, we have succeeded in prolonging the agreements that we wanted to prolong and they are strong like the skiing we have prolonged, like the Formula 1 we have prolonged. So those 2 are very important product for us as well. In Netherlands, it's important as well. We have prolonged the Darts as well. So -- and that has been done in close partnership and close collaboration with the partners and understanding how we can utilize and how we can get more out of the product, and they have been super helpful in all fairness to open up a range of new opportunities for us in connection to these prolongations. And also like the skiing, we have much more content than we used to have. And as I said earlier, now with the British -- with the football with the championship in the U.K., we've now got 550 matches that we can show within the same contractual framework that we have today. So a lot of support from the partners. So we have been lucky that we have managed to continue our partnership with the key rights owners that we work with. I think that is as much as I can talk about the competitive environment.
Matthew Hooper: Okay. Thanks, Jorgen. [Operator Instructions] So back to you, Johan, just to specify the increase in net debt, please, for Daniel>.
Johan Johansson: As a reminder, I think we -- at the time of recapitalization in 2024, we had about SEK 15 billion package, which included on and off GSA and RCF facilities. And now the financing package is much smaller. Based on that, we have closed down the GSA and then taken up the loan for acquiring Allente as well as this new working capital facility.
Matthew Hooper: And so net debt at the end of the year stood at...
Johan Johansson: The net debt at year-end stood at SEK 5.5 billion.
Matthew Hooper: Alex, from SB1 has asked a very detailed question on the cost of each of the various facilities we have. And I think rather than going to that in detail, we have given you an indication of what we expect the financing costs to be during 2026, which is around the SEK 450 million level. And we've said clearly that, that doesn't make much of a change versus what we had in '25, where you need to remember that it's not just the interest cost, but it was also the cost for the guaranteed facility that we had previously. So those 2 things are more or less the same despite the fact that we've taken on SEK 1.7 billion of debt for the -- what was effectively Allente's debt. So financial costs moving into '26, to be very clear should be around the sort of SEK 450 million level. But Alex, if you have any follow-ups, just please let me know. Jorgen, there's a question from 2 people here really on the sports sublicensing side and whether we have anything more that we'd want to do there? And if we could explain a little bit more what the difficult comp was in Q4 '24 that led to a reduction in Q4 '25 versus that period. So what was it that was sublicensed then that caused the comp?
Jorgen Lindemann: Yes. I think when it comes to the sublicense part, it is -- it comes in many shapes and forms to be fair. So it might be so that we find it beneficial to sublicense content in order eventually to get new content in where we find new content, which can enhance our position. So not necessarily incremental cost because you sublicense something, get cash for that and then subsequently buy something else. So that is one element. The other element is, of course, that we have a lot, and we have also too much to be fair. So it is really a treat for customers in all fairness, and we would like to offload some more content clearly to the right partners. But also we will never do it in a way which will harm our commercial proposition. That is also important to understand. We have good partners who we have sublicensed with, and it is very good relationships that we're having there in all fairness, long-term relationships as well. So that is something we will continue to do. So either we will sublicense or we will then sublicense from others or license from others as well that can also be the case. There was some special events in Q4 last year, some sports sublicense we did which we didn't do in Q4 '25. I think that is as concrete as I want to mention that. But there were some events which didn't come into Q4 '25.
Matthew Hooper: Okay. And then we have a question from Kristoffer, Kepler, regarding Allente sales. And his question is Allente sales declined faster in 2025 than in previous years. Could you help us understand why and what you can do to improve this trend moving forward into '26, '27 and '28?
Jorgen Lindemann: Yes, I can talk a little bit about the product. So clearly, what we want to do with Allente is, of course, to enhance the product. That is quite important. And also, we have great marketing opportunities as well through our channels as well to promote all the fantastic offering that Allente offers on the DTH business as well. We have just launched 2 movie channels as well in Allente and more will come. So the partnership with Allente and the content offering now that we can exploit our content so much broader also on Allente definitely should benefit as well. And that is a key focus we're having to preserve these very valuable DTH customers for us and nurse them in a much greater way than it has been done historically. And specifically on the revenue, if there's anything?
Johan Johansson: No, I think it's -- as you say, Jorgen, it is about working with the customer base -- serving the customers with a good product offering that is fit for purpose, with a fit for purpose price and work on the churn reduction measures.
Jorgen Lindemann: And we do also envisage to create new products clearly as well. That is part of the strategy as well. There are definitely things we can do or will do also with some of the Allente offerings that they are having today, which fit very well into the current Viaplay offering. You don't forget that we used to run Viaplay, we used to run a DTH platform. And there, we had a range of partnerships and a range of very strong product offerings to the market, which benefited us also to the customers. So that is, of course, something now. Again, we will look into.
Matthew Hooper: Yes. And just to remind you again, the synergies that we've indicated are cost synergies, the cash cost synergies. We haven't included here at this time any sales synergies, but clearly putting together 2 groups like this will lead to opportunities for us. On the cash synergies, cost synergies, Johan, we've indicated SEK 300 million to SEK 400 million there. Kristoffer has asked if we could walk him through the main sources of those synergies. So where does that come from primarily?
Johan Johansson: Yes. I think when combining these type of businesses, there are clearly overlapping functions that we work with to sort of to operate in an efficient way going forward. And as Jorgen said, we know how we run this kind of business before. So we're setting it up fit for purpose. But primarily, it's a combination of the workforces where we have significant functional duplications, but also technology, marketing and other costs.
Matthew Hooper: I shift the focus now to advertising. Jorgen, it's a question from [ Kyle ] at Arctic. Can you go a little deeper into the ad market environment expectations for 2026 and remind us of the digital versus traditional split? And given digital is growing so quickly, what does that imply in terms of the rate of decline that you're seeing in the traditional ad markets at the moment?
Jorgen Lindemann: Yes. I don't think that those will be linked to be fair. I think that it's just the fact that digital per se is growing quite rapidly as it is right now, and that is independent and linear is growing in all fairness. Linear is very much related to pod level. People using television is decreasing. So that is why the linear TV advertising is also decreasing. So it's difficult to predict clearly. Even we have been surprised sometimes on the market development. But I think if you look at the different bodies, then it should suggest that overall in the Nordics, you would see a decline of around whatever, 10% as it looks right now in '26. At the same time, then you should also see a digital ad market going up by 11%. That is what at least is forecasted. It's a little bit difficult to be specific also because the Norwegian market is actually a combination and doesn't split out linear advertising and digital advertising, but a combination. And that combination is set to grow inclusive radio up around 2.5% in '26. But again, you want to beat those market guidance. Clearly, that is what we would like to do. And -- but that is to give you a rough idea on what the market has forecasted. And I reckon if you ask me, each of the media agencies, they will probably also have different forecasts. So there is no signs.
Matthew Hooper: Yes. And again, remembering the 38% growth number that we gave, which is clearly a strong number for the digital...
Jorgen Lindemann: Yes. We are growing faster than market, and that is due to a strong effort from the team to be fair, innovating as well on new products. The HVOD has clearly helped us a lot and a lot of other talking to partners as well, to all our distribution partners where we also have digital ad insertion in their offerings as well. We want to have new measurement systems, which we're working on as well to make sure that we can properly articulate the currency, the digital currency that we are selling and so forth. So there's a lot still to be done, but we have done a good job and the team has done a good job last year to be.
Matthew Hooper: And is there anything you want to say on the percentage of the advertising revenues that comes from digital today?
Jorgen Lindemann: Yes, it is not larger, unfortunately, than the linear, not yet. So we haven't given that split to be fair. But...
Matthew Hooper: It's still a minority, but it's growing fast. [Operator Instructions] But going back to the message board again, we had one question, which is more of a general long-term question from [ Magnus Sjoberg ], who's asking, when we see positive results and we begin to see a buffer of SEK 1 billion to SEK 2 billion over time, will you then be looking at buying back shares or paying off the debt? Or what are your priorities at the point at which you have cash available to do those type of things? How do you think about that?
Jorgen Lindemann: I think we have been through a 2-year transformation right now, to be fair. So that is something -- and now as we have said as well, we have guided for a range of SEK 1 billion to SEK 1.4 billion EBITDA for the coming year and strong high figure when it comes to revenue. So that is where we are right now, and that is what we want to deliver on. And I reckon the Board at that point in time, we start to look a bit further what they want to do. But that is not something that I have discussed here short term.
Matthew Hooper: One more prompt for anyone who wants to ask questions in the conference call. I believe we've now reached the end of the questions that we have in the message board. Hopefully, it goes without saying if you have any follow-ups, please feel free to contact me, and we can come back to you promptly on those. But I think overall, that concludes the question-and-answer session today. Thank you very much for your time and your questions and your participation. We really appreciate your interest and always welcome your feedback on both the format and content of the materials and this session. We're available for follow-up meetings, so please don't hesitate to reach out to me if you would like to schedule a meeting or you have any further questions. But that's it for today. So thank you again, and goodbye.